Tamiya: Thank you for attending today's Informa TechTarget Third Quarter 2025 Financial Results Conference Call. My name is Tamiya, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to pass the conference over to your host, Charles Rennick, General Counsel. You may proceed.
Charles Rennick: Thank you, and good afternoon, everyone. The speakers joining us here today are Gary Nugent, our CEO, and Daniel T. Noreck, our CFO. Before turning the call over to Gary, we would like to remind everyone on the call of our earnings release process. As previously announced, in order to provide you with an update on our business in advance of the call, we posted a press release to the Investor Relations section of our website and furnished it on an 8-K. You can also find these materials at the SEC free of charge at the SEC's website, www.sec.gov. A corresponding webcast as well as a replay of this conference call will be made available on the Investor Relations section of our website. Following Gary's remarks, the management team will be available to answer questions. Any statements made today by Informa TechTarget that are not factual, including during the Q&A, may be considered forward-looking statements. These forward-looking statements, which are subject to risks and uncertainties, are based on assumptions and are not guarantees of our future performance. Actual results may differ materially from our forecast and from these forward-looking statements. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section of our SEC filings. These statements speak only as of the date of this call, and Informa TechTarget undertakes no obligation to revise or update any forward-looking statements in order to reflect events that may arise after the conference call, except as required by law. Finally, we may also refer to certain financial measures not prepared in accordance with GAAP. A reconciliation of certain of these non-GAAP financial measures to the most comparable GAAP measure, to the extent available without unreasonable effort, accompanies our press release. And with that, I'll turn the call over to Gary.
Gary Nugent: Thank you, Charles, and thank you all for joining our call today. As always, we greatly appreciate you investing the time. I am pleased to report that 2025 demonstrated the momentum that we had anticipated following our Q2 results and that we made good progress in unlocking the benefits of the scale, breadth, and diversity of our combined business. We have said many times that we view 2025 as the foundation year for our combined company as Informa TechTarget. Executing upon our plan to align and integrate our ease and seize the benefits with the combination of forces, I am convinced we will be a key point of differentiation in the market as we move forward. Our early strategic initiatives are gaining traction and beginning to bear fruit, and we're seeing improving performance from our business. The B2B technology market is a dynamic one, with artificial intelligence, cybersecurity, and generally digital transformation as key drivers. With a $5 trillion end market today, our own Omnia analyst forecasts this end market to double by 2034. Our ability to inform, educate, and shape the market and connect technology vendors with engaged, purchase-ready IT decision-makers has never been more valuable. Our clients are, in the main, performing well. However, they are currently engaged in a strategic AI investment cycle, with the majority of resources being redirected towards R&D in this arena. While this may be temporarily impacting go-to-market and marketing budgets, these investments will ultimately need to demonstrate an ROI, which will drive increased demand for our products and services in the midterm. Regardless, it is a large addressable market out there. We signed at around $20 billion for our business, of which we have only penetrated 2.5% market share. Thus, there is plenty of runway for growth to leverage the breadth and scale of our client proposition to compete and win, increase our share of wallet with our customers, and take market share. Our strategic focus remains on four key areas: The first is a revamped go-to-market strategy, focusing our resources and efforts on the largest clients and the hottest market, largely artificial intelligence, cybersecurity, and the channel market. Second, our product innovation. We are aligning and integrating the portfolio of products and services, leveraging the breadth and scale to offer and deliver solutions that align to the needs of our clients across their product life cycle, and by extension, positioning ourselves as a strategic partner and improving our average order value. The third point is improving our operational efficiency and effectiveness, unlocking the cost savings and the synergies that the combination affords us. And then fourth, is a focus towards diversifying our audience development and engagement strategies, including establishing our discoverability through AI answer engine in Leli. In terms of our financial performance, from a revenue and an adjusted EBITDA perspective, we are delivering in line with what we had previously indicated. Today, we are reaffirming our full-year 2025 guidance. We continue to expect broadly flat revenues on a combined company basis compared to the prior year, and an increase in adjusted EBITDA from last year to over $85 million this year. What is particularly encouraging is the sequential momentum that we've built throughout the year, moving from a negative 5.8% in year-on-year growth in Q1 to negative 1.6% in Q2 and now achieving positive year-on-year growth in Q3. Q4 is seasonally our strongest quarter of the year, and this trajectory demonstrates the underlying strength of our combined platform and the effectiveness of our strategic initiatives. Third-quarter revenues were $122 million as compared to the prior year $121 million on a combined company basis, a growth of around 1% year-on-year. However, it also represents sequential growth of 2% on Q2, which was versus a modest seasonal sequential decline last year. So revenue momentum is building. I think in particular, there's a bit of catch-up here as we work through the aligning and integrating combination in the first two quarters of the year. The business generally exhibits attractive profit drop-through on revenue expansion, which together with the cost savings that we were delivering resulted in our adjusted EBITDA growth in Q3 being ahead of our revenue growth, both on a year-on-year basis and on a sequential basis, delivering healthy margin expansion. In Q3, the adjusted EBITDA grew by 9% year-on-year. The company posted a net loss of $77 million largely as a result of an $80 million non-cash impairment, given the reduction in our market capitalization during the quarter. Our Q3 wind wall, as we would describe it, which is a device we use internally to keep track of and celebrate our successes, is covered in interesting anecdotes and postage. We have consolidated our Intelligence and Advisory brands under the unified Omnia banner, bringing together the expertise of Canalys, Ward's, and ESG into a single powerful market intelligence platform. This consolidation is already showing results in terms of client clarity and cross-selling opportunities. We launched in September the Informa TechTarget portal, which is the first product leveraging our combined audience data set. We are now able to provide our clients with unified access to intelligence, intent, and demand via an improved common interface. It represents a significant increase in the intent data signals, over 40% increase, and greater audience reach, improved performance in ROI reporting, and the ability to seamlessly integrate with the majority, if not all, of our customers' preferred marketing and sales platforms. On that note, we were delighted to receive in October the Demand Based Technology Partner of the Year Award. Our editorial teams have won 47 awards for their original, authoritative, and impartial B2B journalism year to date. It is such an asset in a world where trust and trusted sources of information command a premium. In addition, the editorial team has recently launched a new publication, a channel guide, targeting the North American technology channel partners. We collaborate with major tech companies on marketing, sales, and distribution. An important point to note is that in this industry, over 70% of all value goes to market via the channel, and therefore, it is a critical market for us to compete in. Our Allstar editorial team for this combines talents from TechTarget, channel futures, light reading, and CIODAI. Our go-to-market focus on the largest players and the hottest markets is beginning to bear fruit, with bookings up year-on-year, longer-term contracts, and increased average deal sizes as we present more comprehensive integrated solutions to our clients. We continue to successfully reposition Netline to target the volume end of the demand market, which is delivering significant growth in revenues and bookings year-on-year. But to us, most pleasing of all, I'm proud of the way our team has embraced the combined company culture that we are building, and we're seeing excellent collaboration efforts across the business. We continue to view AI as a significant opportunity for our business, as a technology market to serve in its own right, as a tool to improve productivity and quality, and as a catalyst for enhancing existing and inspiring new products and services. The focus of our efforts today lies in four key areas: to provide conversational AI interfaces into our proprietary market and our permissioned audience data, enhancing the efficacy and the speed of building and executing on their go-to-market programs for our clients. The second area is on providing conversational AI interfaces into audience experience across the network, enhancing our audience's ability to discover and engage with the original, authoritative, and unbiased information that better informs and shapes their buying journey. Finally, it's about enhancing the productivity of our market experts as they create original data and insights that inform, educate, and shape the market, and the productivity of our marketing and sales teams as they seek to scale our presence in what is that $20 billion addressable market. While AI is evolving the way audiences discover and consume information, Informa TechTarget is well-positioned for this shift given our wealth of market expertise, our trusted original content, and the diversity of audience development techniques that we have. We are being proactive and agile in adjusting to the fundamental change in how technology buyers discover and consume information. With the rise of answer engines and AI-driven search, there's an accompanying skepticism towards generic content. According to our own search, over four out of five technology buyers do not fully trust AI today. Our focus on high-value, expert-driven editorial content and specialized audience communities is proving prescient as audiences seek to verify with trusted sources. To that, we're seeing a two to three times higher membership conversion rate from answer engines and LLM citations compared to traditional organic search. We believe this is validating our strategy of prioritizing quality, expertise, and our diversified capabilities in attracting membership, such as growth in direct traffic and newsletter engagement, which has meant that our active audience membership grew modestly over the period. Looking forward, we remain focused on capitalizing on the breadth and scale the combination affords us to become an indispensable partner to the technology industry, informing, educating, and shaping the market, connecting buyers with sellers, accelerating their growth via an expert-led, data-driven, and AI-enabled B2B marketing leader. We aim to further build our momentum in Q4 and into 2026 as we leverage the benefits of combination. We believe that we are well-positioned to capitalize on the opportunities ahead and deliver consistent profitable growth and increased value for our stakeholders. I want to thank our entire team for their dedication and continued execution of our strategy. I have spent the large part of the last eight weeks or so with our customers in Massachusetts, California, New York, Washington, both DC and state, Texas, France, the UK, Dubai, and Tel Aviv. Without exception, our customers have gone out of their way to highlight the quality of our people, and the relationships that they have built. Their expertise and commitment are the foundation of our success. With that, we're now happy to answer your questions. I'll ask the operator to open up the line for Q&A.
Tamiya: Absolutely. We will now begin the question and answer session. The first question comes from Joshua Christopher Reilly with Needham. You may proceed.
Joshua Christopher Reilly: All right, great. Thanks for taking my questions here. Maybe just starting off on one of the last topics you were just talking about there and the whole concept of driving traffic via search engine optimization related to the AI, LLMs. What are you seeing and what have you done? Maybe you can just expand on this a bit more. As a company, as you obviously have to pivot from traditional SEO to the answer engine optimization concept. How are you progressing in that? How much more work do you have to do? What are you seeing in terms of the readership trends as customers and users ultimately find more answers via the answer engine optimization versus traditional web search?
Gary Nugent: Yes, Joshua. Wanted to hear your voice. Thank you for the question. Well, I think the first thing I would say about that is that as a combined company, our strategy and tactics for attracting audiences and converting them to members are quite diverse. Very diverse. Less than 50% of the kind of top of the funnel comes from search engine within the business. We have an array of tactics that we use to drive audiences. Like I mentioned in my note, we've actually seen although there is a dynamic in the marketplace at the moment, we're actually seeing our active membership increase modestly through the period, which obviously gives us comfort. In terms of we're also seeing that the traffic from the answer engine is growing. I think we had over 77,000 citations through the period that we talked about. Interestingly enough, it's not just that we're seeing increased traffic coming from these sources. The conversion rate of that traffic to members, and remember, it is the member that is the valuable asset for our business, not the traffic. The conversion to members is two to three times what it was from or what it is from search. What we're really seeing is we're just seeing a slightly more qualified audience member coming to us. What we really also think we're seeing is just that the AI answer engines are filtering out some of the traffic that actually was not buyers that would have been valued to our membership. Does that make sense, Joshua?
Joshua Christopher Reilly: That's super helpful and interesting. All right. So moving on, maybe we could dive in on the quarterly progression of revenue that we've seen this year so far. We know Q1 was depressed due to the integration process. Would you say that Q2 revenues and now Q3 are back to a normalized run rate for the combined business? Or were they also depressed somewhat? The reason I'm the angle I'm trying to get at here is if we look at the sequential implied increase from Q3 to Q4 for total revenue, I believe it's roughly a 15% sequential increase. If I remember correctly, in the old days, the normal TechTarget business would have about a 10% sequential increase from Q3 to Q4. Maybe you could just kind of help us understand what's gone on with the revenue trends here year to date?
Gary Nugent: I think we're, as I said, I would use it in our progressive momentum in the year first and foremost. I think we are, I mean, you asked if it's the run rate, I mean, I would say that we are aiming to improve that constantly over time. The other thing you need to remember, of course, is that within the combined company in Q4, there is revenue from our Canalys business, the Canalys Forums, which is a series of events that run in the fourth quarter in October and in December. That is also effectively explaining the delta between your traditional 10% and the 15% that you're seeing.
Joshua Christopher Reilly: Got it. So you recognize the full amount of that revenue maybe for a year subscription in Q4. Is that kind of the right way to think about it? Or is there one-time, is that event-based revenue?
Gary Nugent: It's event-based revenue that is one-time and recognizes when the flow when the event flows.
Joshua Christopher Reilly: Got you. Understood. Last question for me is you obviously were talking about AI as an opportunity for your business. Maybe you can speak to what specifically from a product perspective you're doing that could drive some tangible revenue over the next couple of years? Really help us understand better what are you doing to productize ultimately the AI opportunity for the new TechTarget?
Gary Nugent: Yes. I touched upon this in my opening comments. I described it as conversational interfaces into our market data and our proprietary audience data, sorry, our permissioned audience data. You think about this, it's really a way we're offering our customers the opportunity to interrogate our data in a way that's a natural language way. What that does is it makes it more actionable, it makes it more accessible, especially when you're then transitioning from the marketing persona to the sales persona. What you will see increasingly from us, and we actually have demonstrations of this, is how you can actually do a natural language interface through a conversational AI interface, interrogate, for example, our intent data. In interrogating that intent data, it then gives you a greater sense of the context behind why that particular company or that particular prospect is somebody you should be focusing your attention on in actioning. That we see as being a major way to make the ability to extract value from our data and lower the barrier to the ability to extract value from the data.
Joshua Christopher Reilly: Understood. Thanks, Gary.
Tamiya: Next question comes from Jason Michael Kreyer with Craig Hallum Capital Group. Proceed.
Cal Bartyzal: Thank you. This is Cal Bartyzal on for Jason Michael Kreyer tonight. So, you know, maybe you kind of touched on the call a little bit about seeing some longer and some larger deals, but just curious broadly how you'd characterize the backlog in the pipeline and that kind of plays into your confidence for some accelerating growth trends here in Q4?
Gary Nugent: Well, I mean, given that we've reaffirmed the guidance for the year, both pipeline and the backlog support that outlook for the year. Generally speaking, we feel confident that we will roll into 2026 with a healthier backlog given the profile of bookings and revenue through the fourth quarter. I would say both of those are true.
Cal Bartyzal: Great. And then just as a follow-up, can you just kind of provide an update on the unified go-to-market strategy you've had and the success that you're seeing tapping into more spend with your existing large customer base?
Gary Nugent: Yes, of course. I mean, this is effectively organizing ourselves around the largest customers in the industry. I think I've mentioned in the past that about 150 to 200 end represent about half of the addressable market in the marketplace. Now we're focusing on all 150 to 200 at present. We've taken a cross-section of that to prove out this concept. We build effectively intact teams across the organization. So not just sales, not just SDR, not just customer success, but all of the capabilities within the business that service customers. In an intact team basis to wrap our arms around these customers and ensure the quality of offering service to them. What it also means is that we're seeing our ability to then land within those customers and expand our presence within them. I talked earlier on about these strong relationships that we have and the strong sponsorship that we have. The key thing that we're looking at constantly is are we penetrating new product business units? Are we penetrating new field marketing and sales units? Are we penetrating different dimensions like industry vertical marketing or channel marketing or corporate strategy, where there are new budget pools for us to address? That's really kind of a measure of our progress is where we are expanding our presence inside these larger accounts. It's obviously nice to grow an existing relationship, but actually what we want to do is expand those relationships within these very large customers.
Cal Bartyzal: Great. Thanks for the time and congrats on the progress.
Gary Nugent: Thank you, Cal.
Tamiya: As a quick reminder, if you'd like to ask a question, please press the star key followed by the number one on your telephone keypad. Next question comes from Bruce Goldfarb with Lake Street Capital Markets. You may proceed.
Bruce Goldfarb: Hey, congratulations on the results. Just a couple of questions from me. Are you seeing any changes in sales cycle duration or deal size within Priority Engine or your subscription offering as we move into year-end budgets?
Gary Nugent: Thanks, Bruce. It's good to hear your voice. I would say no, nothing material changing either in terms of the cycle time on deals or on the average values at a transactional level. No material change.
Bruce Goldfarb: Thank you. And then can you comment on the pipeline for potential tuck-in acquisitions? Are there adjacencies either in data or workflow tools that could accelerate growth in 2026?
Gary Nugent: At this stage, we are very focused on aligning and integrating the existing assets within the business and bringing that to bear in the marketplace. That's really our focus is to ensure that we do that well, we do it quickly, we do it well. We build a platform for the future. I think it won't be until we roll into the second half of next year that we'll give consideration to that.
Bruce Goldfarb: Great. Thank you.
Gary Nugent: Thank you.
Tamiya: There are no more questions waiting at this time. This concludes today's conference call. Thank you for your participation. You may now disconnect your line.